Operator: Ladies and gentlemen, good day and welcome to the Wipro Limited Earning Conference Call. As a reminder, all participants’ lines will be in the listen-only mode. There will be an opportunity for you to ask questions after the presentation concludes. [Operator Instructions] Please note that this conference is being recorded. I would now like to hand the conference over to Mr. Aravind Viswanathan. Thank you and over to you, sir.
Aravind: Thank you, Karuna. A warm welcome to our Q4 FY 2016 earnings call. We will begin the call with business highlights and overview by Abid, the Chief Executive Officer and Member of the Board, followed by the financial overview by our CFO, Jatin Dalal. Afterwards, the operator will open the bridge for Q&A with our management team. Before Abid starts, let me draw your attention to the fact that during this call, we may make certain forward-looking statements within the meaning of Private Securities Litigation Reform Act 1995. These statements are based on management's current expectations and are associated with uncertainties and risks, which may cause the actual results to differ materially from those expected. The uncertainties and risk factors are being explained in our detailed filings with the SEC. Wipro does not undertake any obligation to update the forward-looking statements to reflect events and circumstances after the date of filing thereof. The conference call will be archived and the transcript will be available on our website. Ladies and gentlemen, let me now hand it over to Mr. Abid.
Abidali Neemuchwala: Thank you, Aravind. Good morning and good evening. Today is the first opportunity for me to interact with all of you since I've taken over as the Chief Executive Officer of Wipro, and it's a special moment for me. While I will speak about the performance of our full quarter and the full fiscal year, I thought I will take this opportunity to begin by speaking about our ambition, our strategy and how we are going to execute this strategy. Since I got announced within two days, I was able to define and announce my structure and I had already preselected my leadership team which I announced on 6th of January, effective February 1. Over the past 80 days after I have taken over as CEO, I've had the opportunity to go around the globe and meet about 70 of our top 100 clients. And both with my leadership team and with the customers, I've had the opportunity to validate the strategy that we have been working on and this gives me a high level of confidence on the relevance of our overall strategy. Our ambition is to double our revenues to $15 billion by fiscal 2020 with a 23% operating margin. As you will clearly realize, this is an ambitious target and the entire team is very motivated and committed to achieve this. The core leadership team has collectively laid out the ambition. And over the past about 100 days after we talked about the ambition, the team as well as individual units have worked on the corporate and the individual unit strategies aligned to this overall ambition. We have also broken down key themes which we need to drive to be able to meet our ambition. Each of these themes have detailed measurable performance markers, both input markers and output markets, and I will update you on our progress on these themes on a periodic basis. There are six broad themes on which we anchor our efforts to realize our ambition. Let me share them with you. The first theme is about Digital. Our vision of the Digital business is across advisory, design and technology execution, and is about securing the mindset of the customers and helping them think through their digital strategy and then execute on that strategy. We believe consultative selling across domain and technology is critical to the advisory offering in Digital, along with design for consumer experience and the technology pillars form a holistic digital transformation strategy. With this in view, we have aligned our consulting services with the Digital unit to further boost the capability of the Digital unit. Our acquisition of Designit has integrated well with our Digital unit and we are seeing a number of synergy deals where we are able to provide advisory and design services to our client. Our clients are beginning to see benefit of design and engineering working together to deliver remarkable consumer experiences at speed and at scale. The synergic teams going to market are seeing good traction in the market, and we have won seven deals in Digital in this quarter. We have been able to train over 10,000 people in the last fiscal year. And this year, we plan to train 20,000 people who can execute on digital technologies for our customers. We've opened digital pods in London, New York and other cities where we are able to do define customer journeys and drive innovation along with clients. We will track progress on this theme on a quarter-on-quarter basis, and I will keep giving you periodic updates. The second theme is on client mining. Enterprises are looking for the right partner in helping them with a consumption model or as-a-service model based on business outcomes. We have set up an integrated services unit with the mandate of integrating our technology service lines and being able to provide proactive proposals across our customer base. We have launched a program for delivery leadership transformation called [indiscernible]. This is designed for delivery managers and we are going to cover 1,000 delivery managers by the end of this calendar year to help them enable delivery-led sales and next-gen delivery within our key clients. The third theme is around the markets. We are continuing to focus on the new growth markets and our Latin America, Canada, South Africa, as well as Continental Europe teams are now in place. We're also driving a higher level of localization in all our key markets. In Continental Europe, we acquired local presence through the Cellent acquisition. In the U.S., we are setting up local delivery centers. The first center in Mountain View is already set up where we are hiring technology and engineering skills to be able to deliver product engineering services and digital service lines. We are investing in centers in our key growth markets like Latin America, Africa, and other parts of the world. We expect the percentage of locals in our workforce to increase, and diversity is the key strategic priority as part of our globalization. The fourth theme is non-linearity. We have a significant thrust to drive non-linearity through investments and intellectual property in the form of products, platforms, and frameworks and solutions. HOLMES continues to receive strong adoption with 18 engagements across diverse industry segments. In each industry segment, we are creating use cases based on the Wipro HOLMES platform which essentially provides augmented or artificial intelligence and cognitive capabilities. In Q4 alone, we have kicked off six new pilots with customers. One of the new engagements is that capability to read engineering drawings, just to give you some color in terms of what are the possibilities. These engineering drawings can be leveraged to extract product information and convert into metadata that can be used for digital printing. We are piloting this with a global leader in parts manufacturing. During Q4, we have filed 24 new patents on HOLMES alone, and initiated two new research programs in collaboration with leading universities. Overall, during the financial year, we've almost doubled the number of patents, and we filed 514 patents across about nine jurisdictions. The fifth theme is hyper-automation. Hyper-automation is an initiative to drive not only deliver productivity but also a new way of how work is done, leveraging cognitive and robotic process automation and drastically changing the traditional IT delivery model. Last year, we focused on POCs across 42 clients. This year, we are scaling up the rollout across these clients, primarily in the areas of IT infrastructure and application managed services and business process services. We plan to release about 4,500 people on our managed services engagement through the automation throughout this fiscal year. The sixth theme that I want to share with you is about leveraging the partner ecosystem, which we believe is the key enabler to building capability and scale in digital as well as in all the other areas of strategic importance. The ecosystem consists of start-ups, alliances, academic relationships, and strategic partnerships. As you're aware, we have an active and consistent M&A strategy targeted towards filling capability and market access gaps. We announced four acquisitions this year and the integration of these acquisitions are going well. Out of the four strategic deals that we've announced this quarter, one comes as a synergy deal from one of these acquisitions. We launched Wipro Ventures last year and it has seen strong traction and good client acceptance. We have made six investments with a spend of $20 million in FY 2016. These are in the areas of big data and analytics, artificial intelligence, Internet of Things, and cyber security. These technologies are those which are reshaping the future of enterprises. We will continue to enhance our 360 degree alliance with the key technology companies from a perspective of strategic alliance partners and joint go-to market programs. Let me now briefly speak about the quarter and the year ending March 31, 2016. In terms of financial numbers, our sequential growth is 2.7% in constant currency. On a full-year basis, we grew 7.6%. From a business unit perspective, our consumer business unit and Healthcare and Life Sciences business unit did well with full year growth of 15.7% and 11.6%, respectively. From a geo-perspective, the U.S. geography as well as the India and Middle East business did well. From a service line perspective, our Product Engineering Services continues to show consistent performance with the full year growth of 14.7% on the back of Internet of Things and other services that we provide. The Global Infrastructure Services continues to see large deal traction and deal win and delivered 8.2% growth for the full year. Overall, we find the demand environment to be stable. While overall increase to IT expense is minimal with our client enterprises, there is a reallocation of technology budget from the run side to the chain side with a lot of velocity. In this transition, we have been successful in transferring our services to our clients from the run to chain side, and that is where we are strategically focused in all of our key accounts. With our integrated services focus, we are able to proactively help clients both drive efficiency in the run side of their business and help them transfer the savings to do transformational digital activity in the chain side of their business. To conclude, I would like to say that I feel quite comfortable with the leadership team in terms of executing on the strategy and the themes that I have outlined. I will now request Jatin to speak about the financials in a little more detail.
Jatin Dalal: Thank you, Abid. Good day, ladies and gentlemen. As always, it's a pleasure to speak to you all. Before I speak on the financial performance for the quarter and the year, kindly note that for the convenience of our readers, our IFRS financial statements released today have been translated into dollars at noon buying rates in New York City on March 31, 2016, for cable transfer in Indian rupees, as certified by the Federal Reserve Board of New York. This was $1 equal to INR 66.25. Accordingly, Q4 revenues of our IT Services segment that were $1,882.0 million or, in rupee terms, INR 128.0 billion appears in our earnings release at $1,932 million based on this convenience translation. Let me now talk about Wipro Limited first. Gross revenues for the year ended March 31, 2016 grew by 9% year-on-year at INR 512.4 billion. Net income for the year was INR 88.9 billion, an increase of 3% year-on-year. Gross revenues for the quarter ended March 31, 2016 grew by 12% year-on-year at INR 136.3 billion. And net income for the quarter was INR 22.4 billion. Now, let me talk about our IT Services segment. Our revenues in U.S. dollar terms were $7,346.3 million, a year-on-year growth of 7.6% in constant currency. IT Services revenue for the quarter grew by 2.7% in constant currency. This was in line with our guidance. Revenues in U.S. dollar terms for the quarter was $1,882.0 million, a sequential growth of 2.4% on a reported basis. Margins in IT Services segment was 20.1%, 10 basis points lower than the margins on Q2 – Q3, we managed to keep the margins almost flat in spite of the dilution that we had to take on account of investments and acquisitions we made through the course of Q4, and what we had spoken about during the announcement of those investments. IT Products. In quarter four, IT Products segment delivered revenues of INR 9.6 billion or $145 million, which was a growth of 1.6% year-on-year. For the full year, the IT Products segment delivered revenues of INR 29.7 billion, a reduction of 13%. Let me talk about forex and EPI. On the forex front, our realized rate for quarter four was INR 68 as against the rate of INR 66.99 that we realized in quarter three. As of the period end, we had about $2.8 billion of forex derivative contracts as hedges. The effective tax rate for quarter four was 22.7%, and effective tax rate for fiscal 2015-2016 was 22.1%. And this remains to be very competitive vis-à-vis the industry. Cash flow. For the quarter, we generated operating cash flow of INR 19.3 billion, which was 86% of our net income, and free cash flow of INR 14.3 billion, which was 64% of our net income. For the full year, we generated operating cash flow of INR 78.9 billion, which was 89% of our net income, and free cash flow of INR 65.7 billion, which was 74% of our net income. Net cash available as at March 31, 2016 was INR 176 billion or $2.7 billion. Let me briefly talk about the buyback. Board of directors have approved a buyback proposal for the purchase by the company of up to 40 million shares from the shareholders of the company on a proportionate basis by way of a tender offer at a price of INR 625 per equity share aggregating up to INR 25,000 million. Let me talk about dividend. The board has recommended a final dividend of INR 1 per share. The final dividend along with the interim dividend of INR 5 will take the total dividend for the fiscal year 2015-2016 to INR 6. The final dividend when combined with interim dividend and aggregate amount of buyback approved translates into a payout ratio of 48% on the profit of fiscal 2015-2016. Now, let me talk about the outlook for next quarter. Our outlook for the quarter ending June 30, 2016, we have guided for a revenue growth in IT Services segment of 1% to 3% in constant currency. On margins, you may note that our quarter one margins will be impacted for annual merit salary increases that will be affected from June 1, as well as the impact on operating margin that will take as a result of our investment into acquisition. The HealthPlan Services will be consolidated for full three months during quarter two – during quarter one. Beginning in Q1 FY 2017, we also intend to make a change in our segment reporting. The expense under the head of amortization of intangible arising out of business combination is currently reported in reconciling item in the segment financials. Effective quarter one of fiscal 2016-2017, the same will be reported as part of the operating segment. This change is being made to accurately and transparently reflect the effect of amortization expenses arising from intangibles acquired in a business combination on the operating margins in individual parts of our businesses. We will be happy to take questions from here. Operator, you may open the lines now.
Operator: Thank you very much, sir. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Thank you. First question is from the line of Anantha Narayan from Credit Suisse. Please go ahead.
Anantha Narayan: Hey. Thank you, and good evening to the management team. My first question was to Abid. And Abid you've lucidly laid out these six themes that you're focusing on. And my question was, is there anything that is significantly different than what Wipro used to be – used to do before? And can you just maybe detail that out for us?
Abidali Neemuchwala: Certainly, Anantha. The focus on individual areas that I have brought out supported by a structure, which clearly enables that focus, and supported by investments are to be able to execute on each one of these six themes is what we are more focused on going forward.
Anantha Narayan: And just to clarify, when you mean structure, do you mean the organizational structure?
Abidali Neemuchwala: That is right. The organizational structure and the leadership team behind it. But just to give you an example, one of the themes I talked about is non-linearity. And we've created a new unit, which drives non-linearity across all aspects of non-linearity that I talked about. For example, the partner ecosystem that we talked about. We've announced a partner strategic alliances organization headed by a senior e-bank leader, which drives the partner ecosystem. I talked about Digital, and we've made organizational changes, which I announced on January 6, which have now stabilized by moving our consulting organization under Rajan Kohli who heads Digital, and the design and consulting aspect completely now is within the Wipro Digital unit which takes ownership of the advisory and design services and the execution of Digital engagements.
Anantha Narayan: Thanks for that, Abid. And my second question was just on this quarter's numbers. So, when we look at your guidance that you had given at the end of the last – previous quarter that obviously wouldn't have included HealthPlan. So, in a way, I guess, you've fallen a bit short about the guidance range that you had indicated at that point of time. So, there's something – is there something not the way you had anticipated then?
Jatin Dalal: Yeah. Anantha, Jatin here. So, we had guided for a 2% to 4% including acquisition in quarter four, and we have come within that range. And we, of course, had certain changes, for example, we are still awaiting the regulatory approval to conclude the Viteos acquisition, and we hope to conclude that quickly. Of course, there are changes which happen in all parts of the world, and all parts of our business, and that also had a play, but I would want to say that we had not broken that guidance any differently from an organic or inorganic standpoint. And we have come within the range of the guidance comfortably. In fact, when we concluded our HealthPlan Services acquisition, we did not indicate any change in the guidance at that point.
Anantha Narayan: Okay, Jatin. Thanks.
Operator: Thank you. The next question is from the line of Moshe Katri from Sterne Agee. Please go ahead.
Moshe Katri: Hey. Thanks and Abid, welcome. Looking forward to working with you down the road. So, Wipro has been going through this journey to achieve sector line growth for a couple of years now. And based on what you've seen so far, can you give us some color when do you think we're going to get to that kind of moment? Are we talking about a year or two years? Any color here could – could kind of help.
Abidali Neemuchwala: So, obviously while internally we've got a very clear input markers and objectives on a quarter-on-quarter basis. As you will appreciate, Moshe, we are not sharing that right now in terms of the targets, but on a quarterly basis, I will be coming back and updating you on our execution of the strategy across all of these six themes that I have talked about. Especially, when you talk about the sectors, we are seeing good traction as you see from the numbers as well some of the deal wins that we have had in the consumer business, our Healthcare and Life Sciences business continues to deliver the growth. We have seen good traction in manufacturing, part of the manufacturing and technology SBU, but there is a softness on the technology or the high-tech piece of that business. Energy and utility continues to have headwinds especially because of the uncertainty and the volatility of the gas prices, which is not enabling customers to take decisions on discretionary spend on projects but we feel very good about that sector because we do have market leadership there. And when the spend comes back, we will have a disproportionate share of the spend from within that sector. The telecom sector, also we've had some good deal wins, and that sector is undergoing a fundamental transformation, and we are part of that transformation, but there are parts of that . But there are parts of that business which is getting disrupted, and there are parts where there are new investments coming in. So, that was kind of a broad commentary across the sectors.
Moshe Katri: All right. Understood. And then looking at some of the specific factors for the quarter, we've seen weakness in consulting and application services. Maybe you can talk a bit about that. And then you've also – that's the final question – you've also indicated that you expected some margin dilution in Q1 because of comp increases, and because of dilution from the acquisition. Can you kind of quantify that as well? Thanks.
Abidali Neemuchwala: So, as I had mentioned a couple of quarters back, we are – we were restructuring that consulting business, and as I've said from – we announced in January and from April 1, that entire consulting business now we have restructured, where a part of it fits with the Digital unit, which is relevant to the technology consulting space, and then we've seen the consulting as a broader place including the domain consulting that we have, which fits in individual vertical, and Jatin will update you a little more on how we will report consulting revenues going forward. But what you see over here is more because of the restructuring that we're undergoing in this business for the last couple of quarters.
Jatin Dalal: Hi, Moshe. We will – from next fiscal, which is – sorry, from current fiscal, which is 2016-2017 we will report a larger consulting revenue as part of our commentary in earnings calls from quarter one onwards, and that would give you a sense of how we see the consulting as an overarching theme along with digital that is touching every part of the business that we talk about. And similarly, we will – we are also under – we are also restructuring our service lines, the way we look at them and the way we look at some of the PCs where they are. So there will be a new measurement around them that we'll talk closer to – closer – during and closer to end of quarter one. So these are the two changes that you will see from measurement standpoint that we will share externally from quarter one onwards. Your other question, Moshe, on the profitability for quarter one, yes, we will see an impact of the full consolidation of HealthPlan Services in quarter one. And we – when we had made the announcement of this acquisition, we had talked about a margin dilution of 60 basis points to 80 basis points, and we have taken a month's impact into it, and we have kept the margin fairly stable for quarter four, but the remaining impact will flow through in quarter one. Similarly, if you go back and check our salary impact for quarter one, whenever we have done for last two years or three years, you will be able to see the quantum that we have talked about at the end of quarter one as the impact of salary increase. It's fairly, fairly stable number with an upward bias in quarter one this year because we do want to invest in rewarding high performers a little more than what we have done traditionally, and therefore the part of salary increase will be higher and to that extent the margin impact of that quarter one will be higher. So, these two put together should give you a sense of what could be the investment of margin that we may have to do in quarter one, and our endeavor would be that as we work through the year, we gain back some of this through our focused execution of operations and bring the trajectory back.
Moshe Katri: Understood. Thank you.
Operator: Thank you. Next question is from the line of Diviya Nagarajan from UBS. Please go ahead.
Diviya Nagarajan: Thanks for taking my question. Congrats for setting a precedent on the buyback. Two questions here. Could you give us a sense of the timeline on the buyback if you haven't done for that already? And second, Abid, welcome. Could you split your $15 billion revenue target for us into the different components that will help you get there, please?
Abidali Neemuchwala: So, let me answer on the ambition, while we are not publicly talking about the specific numbers, internally, we clearly have a breakup as part of our M&A strategy in terms of how much will come inorganically and how much will come organically. We clearly have by geography, by verticals, by individual services, so that each one of these units are able to execute on their part of the strategy, and they have detailed out in line with the organizational strategic priorities their individual strategies and investment requirements which we'll be executing on. On buyback, I will let Jatin.
Jatin Dalal: Yeah. So, hi. So, here are a couple of immediate timelines on buyback. One is you will see a detailed public announcement from us in the newspapers and in public domain on our website on Friday morning, and that will give more details to everyone. But effectively, that will rearticulate a lot of information we already shared with the stock exchanges. We will file a draft letter of offer with SEBI in a week's time. And then we will wait for SEBI's approval on that. But overall, we think that we should be able to complete somewhere in – the whole process of buyback by mid-June to end June timeline.
Diviya Nagarajan: Thank you. And all the best for the [indiscernible].
Abidali Neemuchwala: Thanks, Diviya.
Operator: Thank you. Next question is from the line of Ashish Chopra from Motilal Oswal Securities. Please go ahead.
Ashish Chopra: Yeah. Hi. Thanks for the opportunity. My first question actually was to Abid. Abid, you did articulate the six themes for Wipro going forward in your quest for $15 billion revenue. If you could just help me understand in terms of capabilities, which are the areas where you would think that Wipro is pretty comfortably placed whether it's the team or the investments vis-à-vis where it would be significantly more work in progress from here on?
Abidali Neemuchwala: Sure, Ashish. So, definitely where we are comfortably placed is that we've had a very seamless leadership transition and the top team is in place. In certain areas, the team within the units is being reinforced. For example, in the non-linear space, there is an opportunity to reinforce the team, which is in progress right now. In the digital area, for example, on the advisory services, we need scale, and while there is right now about 800-people team, there is continuous hiring over there, and there is tremendous traction that we are seeing in the market. We are very well-placed on the design side because we were very early in acquiring a design house where the synergy is working very well with the design teams. And we are seeing good traction in the market. Again, if you look at the theme on geographic expansion, I think our geography teams in the new growth markets that I talked about, the new leadership is in place in Africa, in Continental Europe, in Canada, we've already announced that. Some of the leadership in more localization in terms of delivery and local hiring is being put in place right now, so, there is some work to be done. In some of the geographies, we may, like Germany, take the M&A route, and we are actively looking at some of the opportunities in that space. Again, in hyper-automation, we are very well-placed. As I mentioned, we have completed 42 POCs with customers. So now, it is the matter of scaling up and we've got an organizational changed management team in place, in terms of driving this hyper-automation within each one of these individual clients as we execute through this, in some cases, approvals from customers, security testing of automation and things like that are in progress. So I think, there is a detailed plan in place. As I said, there is investment. For example, we've set up the $100 million fund in the venture – as part of our venture capital fund which is essentially leveraging our balance sheet. We've spent $20 million in that. We have available more but we can make more available as required as opportunities come up. So, I think we're very set. As you realize, Ashish, I did have some run rate getting into the jobs, so a lot of those things have been put in place. The most important thing is that there are clear owners within the team. There's a stable leadership team. There are clear plans that targets goals and objectives of all of this leadership of over 2,000 people across the organization have been signed off and accepted before 31st of March that is before we entered into the new fiscal year.
Ashish Chopra: Sure.
Abidali Neemuchwala: So, that gives you color in terms of the questions that you had.
Ashish Chopra: Yes, that's helpful. And just a couple clarifications from my end. So, since the approval for the Viteos acquisition has not come in yet, so, should I be, assuming that the guidance for 1Q is factoring only the full quarter from HPS and not from Viteos?
Abidali Neemuchwala: Let me put it this way, because we do not have regulatory approval right now. It is not right now on our horizon. But our guidance range is large enough, but right now, we have not considered it.
Ashish Chopra: Okay. And Jatin, you were mentioning 60 bps to 80 bps impact from the acquisitions. Is what you mentioned came in in this quarter or is the full impact out of which the remainder will be in the first quarter?
Jatin Dalal: You are right. It's the latter, which is one-third of it came in quarter four, and two-thirds will come in quarter one. And we also talked about the salary impact which would be larger this year than what it has been in the past. So, we definitely see an investment of margins that will help to do in first quarter, and we are sharing the comment here.
Ashish Chopra: Right. And just lastly from my end, so given that you've announced the buyback and then there's a dividend, so, the payout as a combination of these two this year is slightly higher than the previous years. So, given the investment targets that you would have in mind, should we assume that this kind of a payout going forward should be sustainable? Or how would you be – would you be revisiting it from time to time?
Jatin Dalal: No. I think we have always maintained that we will look at our payouts based on the need of the funds that we have every year. However, in past, we've articulated that we will pay around 40% as a payout structure. This year is little higher. But that kind of variability does play in when you are doing a first time ever kind of exercise of buyback.
Ashish Chopra: Got it. That's helps. Thanks, and all the best.
Operator: Thank you. We have next question from the line Sandeep Muthangi from IIFL. Please go ahead.
Sandeep Muthangi: Hey. Thanks for taking my question. I have two questions. First question is on the next quarter's guidance. If I strip away the contribution or the additive revenues from Healthplan, seems a tad weaker than in the past couple of years, just a tad weaker on the lower end. I'm trying to see why this is so because you sound incrementally more positive on the traction and the Digital, you're saying that even the acquisitions there are some early synergies. What's worsened this year that's giving rise to this caution?
Jatin Dalal: Yeah. So, Sandeep, and I will request Abid to add, but as you know seasonally, Q1 is not our – best of our quarter and that seasonality has played in in our numbers, but yes, incrementally, we do see market opening up on the lines that where we have made our investment and we do see Digital as clearly something which is finding tremendous traction in the marketplace [indiscernible].
Abidali Neemuchwala: I would just like to add, some of the years where we are seeing some softness which is built into our guidance, one of the areas is Banking and Financial Services, especially in Continental Europe we are seeing some softness as I mentioned. Energy and Utility is an area where we still need to see pickup, and our assumption is that once there is a stability in the gas prices, the discretionary spend will come back but some of that we factored in [inaudible] (42:09).
Sandeep Muthangi: Right.. And quickly this softness in the Financial Services in Continental Europe, is it more to do with some slowdown in the discretionary side of things or is it more pricing pressure and lower traction in even the core markets?
Abidali Neemuchwala: I think I would attribute it more to some of the announcements that some of the financial institutions have made over there in terms of the cost challenges that they are having and some of them are our customers. We have a fair presence in Continental Europe in Financial Services. And right now, it is definitely resulting in slowdown in discretionary spend and some project activity, but in the long run, we believe that as part of the efficiency drive, we will be able to gain [indiscernible].
Sandeep Muthangi: Right. Makes sense. And my second question was on the goal setting of 2020 revenue and the margin target. The margin target of 23%, not target but the margin goal of 23% is more of EBIT margin I believe. I'm just trying to see what timeframe should we be looking at to see the significant acceleration both in revenues and margin improvement? Are we talking of this kind of goal setting being really visible in 2H of – as soon as 2H of FY 2017 or is it more like a 2019, 2020 kind of a thing that you're looking at to track some of the progress on this?
Abidali Neemuchwala: So, Sandeep, as you would imagine, very clearly, we've defined input markers and output markers which are on a quarterly basis and they roll off across these themes, across the various units, across the three dimensions that I talked about. And I will be personally measuring them and reporting some of them. We are externally not talking about a timeline right now. But as you would imagine, the benefits of the execution of some of these strategic priorities will start getting reflected in our results as well.
Sandeep Muthangi: Okay. Right. Abid, thanks so much. All the best for the year ahead.
Abidali Neemuchwala: Thank you.
Operator: Thank you. We'd like to remind our participants to please limit your questions up to one per participant. If you have a follow-up question, we request you to please rejoin the queue. We have next question from the line of Viju George from JPMorgan. Please go ahead.
Viju George: Yeah. Good evening. Thanks for taking my question. Abid, I just had a question based on your six part strategy. It probably has shades of other questions already asked on this. But somehow we are increasingly sensing a strategic sameness to most of the companies in the sector. Everyone talks about hyper-automation. Everyone talks about partnerships, AI platforms, Digital, et cetera. So, the thing that – the question I really have is how does one identify who is following, who is leading, what are the markers for us to understand? For instance, even in AI platforms, you have a HOLMES [indiscernible] very difficult for us to figure out who is following, who is leading. What are the markers that you think we should be understanding from [indiscernible] perspective to understand where it is sitting, the agenda and where it might be sort of just following others? Thank you.
Abidali Neemuchwala: So, Viju, I can't talk about others, but if you look at it from a Wipro perspective, very clearly we identified that all of these themes that I talked about need a leadership which is focused on it. It needs a structure which drives specific focus of high powered resources into it, and an investment strategy behind it. And I think as an input marker, at least I can say that if you look at some of our endeavors on that front, the way we measure internally as input markers definitely is having done all of these three things, clearly defined the strategy and the execution plan, clearly have a team behind it, and clearly have an investment plan behind it.
Viju George: Sure. Thanks. And what about the output markers? How should we see that?
Abidali Neemuchwala: Output markers, I didn't tell you because, Viju, you are an expert at that. You know what to see in terms of percentage of revenues on some of these themes, operating margin in terms of efficiency and stuff like that, mix of revenues and stuff. Our output markers don't change too much.
Viju George: Sure. Thank you, Abid, and all the best.
Jatin Dalal: Thanks.
Operator: Thank you. Next question is from the line of Ankur Rudra from CLSA. Please go ahead.
Ankur Rudra: Hey. Thanks for taking my question. And good to see the buyback. Abid, if you could perhaps elaborate on your thoughts after meeting the 70 clients, more specifically in terms of where you feel that Wipro can differentiate versus peers going forward, and more broadly, how demand especially in the area that you want to focus on is shaping up. Thanks.
Abidali Neemuchwala: So, Ankur, if I were to kind of summarize as common theme across the customers, our strategy resonates very well with what customers are trying to do. So on the run side of the business, clearly there is a higher level of efficiency that customers are driving. And our hyper-automation theme is resonating well. We are ahead in terms of both partnerships for robotic automation. Our own platforms, Wipro HOLMES under which we have a number of bots that have been developed and the cognitive intelligence which enables us to provide certain platforms to do a consumption-based model or outcome-based model which customers want. Clearly, our localization strategy helps us with being able to deliver some of those engagements within the markets that customers need. So, our ability to respond faster [indiscernible] the speed of responsiveness is increased and I think that is a differentiator for us. Also, if you look at on the digital front, customers are looking more and more to have a single partner who can take them through the journey from thinking through the digital strategy to doing customer journey engineering or looking at that business processes and laterally thinking about the new business processes and the new consumer end-user experience which comes through design, and then executing on that. And I think we have a very differentiated offering which is seeing very good traction in the market but rather than working with three different organizations across consulting and think or design and then execute on the technology piece, being able to give end-to-end responsibility to us as a strategic partner. We are seeing a differentiator there. Again, in the partner ecosystem especially on strategic investments, we see a differentiation because we've been able to make some early investments, and the strategic investments gives customers the comfort that we are able to both shape the road map of the product or the technology of these start-ups as well as bring in these technologies and innovation and the solutions that we provide to the customer. So, those are some of the things where clearly, Wipro differentiates. I think the key is the transformation that we are internally driving in terms of the sales force transformation where the selling changes more into a consultative selling proactively proposing to customers and between myself and Bhanu, our Chief Operating Officer; Prasanna who heads MIT now and the six SBU heads, we are interacting directly with all of our top clients to be able to proactively take some of these propositions and drive execution within that. And that kind of understanding of customers and being able to take these propositions, it forms an important part of the overall strategy.
Ankur Rudra: I understand. That's very helpful. Just if I could have a follow-up. You mentioned the hyper-automation with 42 customers, POCs last year will churn into full execution this year. Do you have a sense of what extent of labor or capacity reduction you might see and how you might share that declines? Thanks.
Abidali Neemuchwala: So, right now, we have a plan to release about 4,500 people through the year, through the engagements which are already planned. And obviously, some of the new engagements that we will get already incorporate some of the productivity gains due to this hyper-automation, and we've been running these pilots for, as I said, a good part of last year. So, some of the deal wins that we have had also have incorporated this productivity into them.
Ankur Rudra: So, just if I could, question [indiscernible] – sorry.
Jatin Dalal: So, Ankur, Jatin here. Just to add, you should see it as a measure of competitiveness and ahead of anybody else in terms of the share capacity to execute with a particular volume as against – yes, it will flow down to margins also but prima facie corpus is to become the most competitive.
Ankur Rudra: I understand. I just wanted to get a sense if $45,000 was the base to that? Is that like $50,000, $20,000. $100,000 just to get a sense of, can this apply to a wider range, how effective you can be?
Abidali Neemuchwala: Yeah, so number is $4,500 and not $45,000.
Ankur Rudra: $4,500 on a base of how much I mean...
Abidali Neemuchwala: This should be above base of [indiscernible] the way I would break it down is, the $3,000 will be from an IT Services perspective on a base of about $18,000 and another $1,500 or so from a business process services perspective on a base of about $30,000 to $35,000.
Ankur Rudra: Okay. Thanks. Best of luck.
Operator: Thank you. We have next question from the line of Ravi Menon from Elara Securities. Please go ahead.
Ravi Menon: Thank you for the opportunity. I just wanted to get a sense of your head count addition. This quarter with [indiscernible] HPS, we had expected to see a net increase because you had 800 employees and [indiscernible] when you acquired it and HPS is 2,000 plus employees. So the net head count addition this quarter is only about 2,240 employees. So, are you looking at not replacing some of the voluntary attrition because you're expecting the effects of automation or what's – could you give some color on that?
Abidali Neemuchwala: So, there are couple of things, both there is a – as you see, there's an improvement in utilization, and there is a level of automation releases and attrition that is happening. Although, the attrition has been lowest in the last about 11 quarters for us this quarter. But, yes, those productivity does reflect in the difference between the overall growth and the head count.
Ravi Menon: Great. Thanks.
Abidali Neemuchwala: So, we have enough capacity right now to absorb growth that is coming.
Ravi Menon: Right. So, apart from hyper-automation, do you think that you would see a net head count addition over the coming year? Are you looking at a figure or sense of how many campus recruits you're thinking of or any other levers that can help bring down your cost?
Saurabh Govil: Ravi, we don't call out the number of hires we do from campus [indiscernible] last fiscal. But if you look at the overall supply chain, a function of adding attrition [indiscernible] from automation and the demand. So, I think if you look at our utilization, [indiscernible] to improve further. We have seen it going down last quarter given that we had more releases, but I'll just say we have good head space to increase [indiscernible].
Ravi Menon: Great. Thank you.
Saurabh Govil: We'll have to keep all this in order together. [Indiscernible].
Ravi Menon: Sure. Thank you. One last question from me. Your top client has been a little volatile. Revenue peaked around end of FY 2015 and it's been declining since then. I realized that some clients are cutting budgets, do you think that this client has bottomed out or will it take a few more quarters before it stabilizes?
Abidali Neemuchwala: Ravi, these are specific case where we are well placed in that account, but client is moving. Investments will change the business side. And as of – so, we are seeing a revenue churn as the mature engagements on run the business site come to an end, but we want people back into the pilot project on the change the business site. But we are quite hopeful and confident that as this pilot project on change the business site get their own life and grow and become larger, we will be able to catch up on the volumes thereto. So, we will see more of this as a timing gap than a loss of – permanent loss of revenue.
Ravi Menon: Great. Thank you. Best of luck.
Operator: Thank you. Next question is from the line of Sandeep Shah from CIMB. Please go ahead.
Sandeep Shah: Yeah, thanks for the opportunity. Abid, just in terms of your strategy related to 2016. Can you give us some color in terms of any major changes you are planning in terms of delivery when it has to lead to your integrated services model, which internally to client mining because we have read in the media that there would be some changes in the appraisal process of the delivery employees including junior ones?
Abidali Neemuchwala: So, Sandeep, given that some run rate that I had after joining last April, all of the changes that we thought are foundational to be able to execute on the strategy and the themes that I just laid out. I would say almost 95% plus of those changes are complete. So, last year, around October, we changed the reporting of about 55,000 people as part of our delivery realignment. We had some of the leadership changes in December timeframe. We also created some of the new organizational constructs, the integrated services group, the integrated solutions group, the MIT organization, the organization focused on robotics, all of those were done. So, the way I would characterize the change – again, while we did a lot of the changes in the structures and the goals and objectives change has come into effect from April 1. And as I said, all of those goals and objectives have been set for the Top 2,000 people who are under those incentive schemes and incentives have been already defined and accepted. So, while a lot of changes have happened in the past eight months to nine months, I would want to characterize it as we have done with the foundational changes. We now have a stable leadership team and organization, which clearly understand the way forward, has got a complete alignment and are passionate about it. And now, our focus over the next few quarters is on executing on WIT's discipline on our plan. So, I would not see the next few quarters in terms of change. I would see this in terms of stable execution.
Sandeep Shah: Abid, but any major changes in the appraisal parameters both for the delivery and the sales marketing employees which you'd like bring in or inculcate a more focused execution and discipline.
Abidali Neemuchwala: We have done those changes already. Saurabh, you want to?
Saurabh Govil: Sandeep, Saurabh here. I think the parameters for measuring on delivery per se of sales are not changing. It is the way we're looking at the appraisal process which has got changed where you're not looking at bell curves and stuff like that. But the parameters in terms of [indiscernible] cost, growth, those very clearly are continuing [indiscernible].
Abidali Neemuchwala: And, for example, some of the changes that we've brought in, in terms of integrated services to be promoted for mining and all of that were socialized between the November/December timeframe, we had a kind of a holiday in the Q4 for people who are getting impacted during the transition. And from Q1, from April 1, those changes are clearly known and in effect already. So, I don't see, going forward, I don't see any changes either in people, leadership, structure or incentives. There is a pretty stable environment focused on execution.
Sandeep Shah: Okay. Okay. And just next question to Jatin. In terms of margins, Jatin, if I look at in terms of the weightage of the tailwinds versus the headwinds, it looks like the tailwind should have been more enough to you to report higher margins because we had absence of one-time cost in Chennai. There was a currency depreciation, there was an increase in utilization, there was higher fixed price as well as there was a SG&A leverage versus that we had M&A-related margin softness because of the integration. So, is there some other major headwinds in terms of pricing or something else which has led to this kind of margin performance in this quarter? Because in last conference call also you said that the Q4 margin should be higher than in Q3.
Jatin Dalal: So, we did say that we will have a headwind of acquisition. So, we have kept the margins flattish after taking the sort of two-acquisition impact, one from Cellent and then for HPS. But apart from that, there are normal business movement apart -normal business movement, but there is one specific thing among that is that India and Middle East business is going through a patch where they are in deals where the investments are required now. And that had impact on our India and Middle East part of our business profitability. We do believe that it will take some time for us to fully recover that. But that is only additional parameter, which has played up in quarter four apart from business as usual.
Sandeep Shah: And just last on buyback. It looks like that it's maybe an alternative way, tax-friendly way of distributing cash. So, going forward, we can expect that the combination of a dividend and buyback may continue for Wipro?
Abidali Neemuchwala: Sandeep, buyback, as you know, it's a tender offer which is a one-time process of returning cash to shareholders. And that's what we are following. And we will see how shareholders can benefit. So, this is onetime for next two months. And we will evaluate and this is the board's prerogative to decide what is the best way of returning share – cash to the shareholder.
Sandeep Shah: Yeah. Thanks. Thanks. All the best to Abid and the Wipro. Thanks.
Abidali Neemuchwala: Thank you.
Operator: Thank you. Ladies and gentlemen, that was the last question. I would now like to hand over the floor back to Mr. Aravind Viswanathan for closing comments. Over to you, sir.
Aravind: Thanks, Karuna. Thank you, all, for joining the call. In case we could not take any questions due to time constraints, please feel free to reach out to us. Have a nice day.
Operator: Thank you very much, sir. Ladies and gentlemen, on behalf of Wipro, that concludes this conference call. Thank you for joining us and you may now disconnect your lines.